Operator: Greetings, and welcome to the CCC Intelligent Solutions Fourth Quarter and Fiscal Year 2021 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Brian Denyeau with ICR. Please go ahead.
Brian Denyeau: Good morning, and thank you for joining us today to review CCC's fourth quarter and fiscal year 2021 financial results, which we announced in the press release issued before the open of market today. Joining the call today are Githesh Ramamurthy, CCC's Chairman and CEO; and Brian Herb, CCC's CFO. The forward-looking statements we make today about the company's results and plans are subject to risks and uncertainties that cause the actual results and the implementation of the company's plans to vary materially. These risks are discussed in our earnings release that is available on our Investor Relations website under the heading Risk Factors in our registration statement on Form S-1 filed with the SEC on September 9, 2021, and our 2021 annual report on Form 10-K to be filed with the SEC. Further, these comments and the Q&A that follows are copyrighted today by CCC Intelligence Solution Holdings Incorporated. Any recording or retransmission or reproduction or other use of the same for profit or otherwise without our prior consent of CCC is prohibited and a violation of United States copyright and other laws. Additionally, while we have approved the publishing of a transcript of this call by a third party, we take no responsibility for inaccuracies that may appear in that transcript. Please note that the discussion on today's call includes certain non-GAAP financial measures as defined by the SEC. The company believes these non-GAAP financial measures provide useful information to management and investors regarding certain financial and business trends relating to the company's financial condition and the results of operations. A reconciliation of GAAP to non-GAAP measures is available in our earnings release that is available on our Investor Relations website. Thank you. And now I'll turn it over to Githesh.
Githesh Ramamurthy: Thanks, Brian, and thanks to all of you for joining us today. I'm pleased to report that CCC delivered exceptionally strong top and bottom line results in the fourth quarter. I'd like to start by summarizing our financial results for the fourth quarter and full year. For the fourth quarter, revenue was $187.1 million, up 19% adjusted for divestiture last year. This is ahead of our guidance and our strongest growth performance in years. Adjusted EBITDA was $75.7 million, which grew 30% year-over-year. This represents a 40% margin, up more than 300 basis points from the fourth quarter of 2020. And for the full year, total revenue was $688.3 million, up 15% adjusted for divestiture last year. And adjusted EBITDA was $261.4 million, representing a 38% margin. Both our revenue and adjusted EBITDA performance were well ahead of our initial guidance for the year, reflecting the strong momentum across our business. The CCC cloud today sits at the heart of the digital transformation of the P&C insurance economy. More than 30,000 customers across the ecosystem trust CCC to provide state of the art cloud-based solutions that leverage AI and mobile to boost operational efficiency and greatly improve the customer experience. We believe this is a long-term trend that is still in the early days. This gives us great confidence in our ability to drive consistent, durable growth in revenue and profitability. While we have delivered organic revenue growth for 2 decades, our performance in 2021 was particularly strong. We continue to lay the foundation for sustained growth as we delivered more than 1,700 product releases on the CCC cloud in 2021. This is up from 1,400 releases the prior year. This equates to an average of more than 30 product releases per week. These included important new launches, like CCC Estimate-STP and payments, as well as significant updates to diagnostics and many other existing solutions. We substantially expanded the breadth and depth of our AI solutions, which have now been used to power more than 9 million unique claims using a CCC deep learning AI solution. This is up 80% from 2020. We expanded our platform to support additional aspects of the ecosystem and increased the value of our network for our customers. We signed a number of key renewals during the year, including 4 of our largest Multi-Store Operators or MSOs, and 3 of the top 5 insurance carriers. It was exciting to see that in every case, these customer wins included both multiyear extensions and further expansions of CCC solutions they will deploy, and we successfully returned to the public markets. We are extremely proud of the hot and quality shareholder base we have attracted, who have been very supportive of our long-term strategic objectives. I also want to take this opportunity to thank the CCC team for all that we have accomplished together in 2021, and the incredible path we have to power the digital transformation of the P&C insurance economy. I will now provide some of the key highlights from the fourth quarter. The first area I would like to highlight is a continued expansion of CCC solutions with our customers. We have a terrific customer base, which includes so many that have been with us over the long term and they continuing to give us great insight as to the business challenges they would like solved. The strength of these relationships is foundational to our long-term success and drives our best-in-class retention rates. A great example of the opportunity in these long-term relationships with the meaningful expansions we secured during the quarter with 2 of the top 5 largest P&C insurers as part of signing 5-year contract renewals with each customer. Each insurer will be meaningfully expanding their spend with CCC as they deploy in number of new solutions, including our suite of mobile AI solutions and Estimate-STP. As we discussed last quarter, we believe one of the most exciting aspects of the CCC growth story that many investors may not fully appreciate is the opportunity for growth from our broad insurance customer base. New solutions like Estimate-STP, payments and Total Loss care, as well as new innovations we plan to introduce in the coming years, are all incremental growth opportunities. Now to give you some perspective on the scale and visibility we have into our future revenue. At the end of last quarter, we had more than $1 billion of revenue under contract with our 25 largest insurance customers and believe we can meaningfully expand our revenue from them over the long term if they were to deploy more of our solutions. A similar dynamic also exist among our repair facility customers. During the quarter, we signed a long-term renewal with one of the nation's largest MSOs that will now be deploying our Engage solution to all their locations. We are thrilled with the interest in CCC Engage throughout 2021. In fact, this product has now been adopted by nearly 9,000 of our repair facility customers. This represents more than 30% of our total repair facility installed base and is one of the fastest product deployments we have ever had. During 2021, we signed renewals for 5 or more years with multiple national MSOs, which highlights the longstanding relationships we have built and our long-term commitment to product innovation and most important to their success. Finally, we also continue to expand our ecosystem as our investments in areas like parts and total loss provide opportunities to add parts providers, banks, and financial institutions, and other auto insurance economy participants to our platform. For example, since introducing parts several years ago, we now have signed up more than 4,000 parts suppliers. We had 40% growth in electronic order volume in 2021 and now have 15% of total market GMV being processed on our part solution. Parts is a great example of how we have built the CCC platform to be a balanced multi-sided network that generates value for all participants for the millions of claims processed each year on the CCC cloud. What is particularly powerful about the expanding adoption of the CCC cloud is that it is self-reinforcing. The revenue from new products adoption provides resources to invest even more in R&D further expanding our offerings, which in turn helps us deliver more revenue and earnings growth of virtual cycle in other words. The second area I want to provide an update on is the early success we're having with some of our recent product innovations. Our passion for product innovation is what drives our success with customers. At the heart of our product development effort is our vision for straight-through processing or STP, which will leverage AI to fully digitize large segments of the P&C insurance economy. STP is applicable throughout our network ecosystem and represents a multiyear innovation journey across a number of use cases. A critical component of our STP vision was the recent introduction of CCC Estimate-STP, our first product that enables a truly touchless straight-through processing experience for our customers and a critical step forward for the industry. As a reminder, this solution fully digitizes the estimating process for qualified repairable claims and shortens the estimating process from days to seconds. Momentum continues to build around Estimate-STP as customers embrace the increase in accuracy, speed, and efficiency this AI-powered solution brings to the estimation process, so also reducing estimate times from days to seconds. Estimate-STP is a significant opportunity for CCC and is one that we expect to scale over the next several years. We continue to see terrific adoption and momentum with our AI innovations. We now have more than 95 U.S. auto insurers that are actively using CCC's AI-powered capabilities and we're still in the early stages of driving widespread adoption. A stack that I'm particularly proud of is that last year we grew the number of claims that utilize 4 or more of our AI applications by a factor of 6. This is a great demonstration of the sizable opportunity we have to incorporate AI throughout the claims life cycle. Finally, we continue to make progress on our payment solution, which is now generally available to customers. We're engaged with a number of customers to refine use cases and to build a pipeline for this product. We're following a 3-part approach that has helped us launch and scale new products in the past. First, we initially roll out with select customers, where we partner together to refine the use case and optimize the workflow. Second, we take those learnings, incorporate them in our solutions, making its value proposition even more powerful. And then lastly, we move upmarket and deploy to larger customers or looking for new technology that can increase efficiency and profitability. This is a process that takes time, but has yielded consistently strong results for CCC. The third area I'd like to update you on is how we're expanding our market opportunity. We recently announced our acquisition of safety, an innovative startup InsurTech provider that uses AI, machine learning, and natural language processing to digitize the full subrogation life cycle. For those of you not familiar with subrogation, this is a step in the claims process that every insurer has to perform across every P&C line and refers to the process of protecting consumers and insurers from paying for losses where the insured is deemed not at fault or only partially at fault. Subrogation affects tens of billions of dollars in claims every year and cost insurers over $2 billion in estimated administrative expenses annually. Historically, subrogation has been a highly manual and time-intensive process and digitizing it is a natural extension of our STP vision and platform strategy. Safekeep technology uses AI and automated workflows to streamline the entire subrogation process, addressing a key pain point that our insurance customers have been asking us to solve. This gives us an exciting new cross-sell opportunity with our carrier customers and also extends us beyond auto as the Safekeep platform addresses subrogation across any P&C line. We are excited to welcome the Safekeep team to CCC. This acquisition is indicative of the opportunity we have to deliver additional value to our network through new inorganic products deployed on the CCC cloud. As we look ahead to 2022, we believe CCC is in a great position to build upon this success and work even more closely with all participants in the auto insurance economy. Our focus is on leveraging and expanding upon our unique and comprehensive cloud platform to fully digitize the P&C insurance economy by delivering on our STP vision. This includes expanding adoption and use cases for our solutions. We will be broadening our AI capabilities to allow us to capture more estimate use cases, as well as extending our STP capabilities into new workflows, like subrogation and payments. We're also focused on growing our capabilities and diagnostics to create even more value and drive greater efficiency for our repair facilities and other customers. We are excited about the opportunity to meaningfully increase adoption of these new solutions over the course of 2022. We will also invest in our people to support our growth objectives. Our employees are the lifeblood of CCC and our success as a company. Ensuring that we are developing and supporting our current and future employees is a top priority for me and the senior leadership team. To that end, we were thrilled to recently open our new design center in downtown Chicago. This state-of-the-art facility that also serves as our new headquarters, is purpose built to facilitate innovation and collaboration by our employees. We're also increasing our focus on leveraging the increase in remote work opportunities by recruiting highly qualified candidates in new regions around the world. Finally, we will pursue opportunities to deepen and expand our platform through alliances and target M&A. Our open platform and deep customer relationships make CCC an ideal partner for any technology provider looking to serve the P&C insurance economy. We believe there are significant opportunities to enhance the value of our platform and increase our network effect by using alliances and M&A to provide new growth opportunities for CCC. Overall, we feel very good about the state of our business and our ability to generate substantial value for our customers and our shareholders. Now I'd like to turn the call over to Brian, after which we'll be happy to take your questions.
Brian Herb: Thanks, Githesh. Today, I'll review our fourth quarter and fiscal year 2021 results and also provide guidance for the first quarter and full year of 2022. Total revenue for the fourth quarter was a $187.1 million, up 19% from the prior year period on an adjusted basis. We look at growth on an adjusted basis, which excludes from our 2020 revenue a portion of our casualty product line, clinical professional services, that was divested at the end of 2020. We believe this provides the best view into the underlying growth of the business, so our quarterly performance can be looked at on a like-for-like basis. From a trend perspective, 19% growth is the sixth sequential quarter of accelerating year-over-year revenue growth. Growth in the quarter was primarily driven by strong cross-sell and up-sell activity, including the impact of several large renewals signed in the quarter, with expanding solution bundles and also deals closed earlier in the year that contained sizable increases in revenue. We also saw continued strength in new logos, largely in part suppliers and repair facilities. We are pleased with our performance in the quarter and the underlying momentum in the business, which only had a limited benefit from transactional volume recoveries in the quarter and only 1% impact on total growth for the full year. I do want to highlight that, in the fourth quarter, we had approximately $4 million of non-recurring revenue, which contributed approximately 2 points of growth, most of which was anticipated in our guidance. The non-recurring revenue related to 2 items, a Chinese customer renewal that included several months of catch-up revenue and also some year-end true-ups that happened in Q4 and will reset in 2022. Turning now to our key metrics. Software Gross Dollar Retention or GDR captures the amount of revenue retained from our client base compared to the prior year period. In Q4 '21, it was 98%, which is consistent with our historical levels. We believe that our software GDR reflects the value we provide to our customers and the stickiness of the network effect. Software GDR is a core tenant of our predictable and resilient revenue model. Software Net Dollar Retention or NDR captures the amount of cross-sell and up-sell from our existing customers compared to the prior year period, as well as volume movements within our client base. In Q4 '21, software NDR was [ 115% ]. Similar to last quarter, software NDR was above our historical range. The consistently strong NDR we delivered throughout 2021 is a demonstration of the breadth of our cross-sell opportunities, as we benefit from new solutions like Engage, mobile AI, as well as large client renewals that expanded adoption of some of our more traditional products. We are well-positioned to drive strong cross-sell and up-sell activities going forward. But it is also important to keep in mind that as we move throughout 2022, we will face tougher comps against the strong NDR performance, especially in Q3 and Q4. Software NDR is a key driver of our growth, given that the majority of our subscription revenue comes from our existing client base. Now to review the income statement in more detail, as a reminder unless otherwise noted, all metrics are non-GAAP and we've provided a reconciliation of GAAP to non-GAAP in our press release. Adjusted gross profit in the quarter was $147 million with adjusted gross profit margin of 79% compared to an adjusted gross profit margin of 76% in the fourth quarter of last year. Adjusted gross profit benefited from the increased scale of the business and the relatively fixed and semi-fixed cost base within our cost of revenue, as well as the $4 million of non-recurring revenue I mentioned earlier. Turning to our operating expenses, non-GAAP operating expenses were $77.7 million. Our cost base remained somewhat lower than we anticipated due to hiring being below our plan, coupled with lower discretionary costs like travel due to the ongoing effects of COVID. Adjusted EBITDA for the quarter was $75.7 million with a 40% adjusted EBITDA margin. Adjusted EBITDA grew 30% year-over-year. This was a strong profitability performance that reflects the revenue over performance and the expense favorability I just referenced. Turning to the balance sheet and cash flow. We ended the quarter with $183 million in cash and cash equivalents and $800 million of debt. At the end of the quarter, our net leverage was approximately 2.4x adjusted EBITDA. Free cash flow in the quarter was $17.3 million compared to $30.9 million in the prior year period. Looking at cash flow on an unlevered basis, in 2021, we converted 53% of adjusted EBITDA into unlevered free cash flow. We did have several one-time items that impacted the cash flow during the year, including transaction costs related to taking the company public and the investments in our new headquarters. If you adjust for these items, cash conversion would have been in the low 60s and consistent with our historical performance. Now, I'd like to finish with guidance beginning in the first quarter. We expect total revenue of $182.5 million to a $184.5 million. This represents 16% year-over-year growth at the midpoint. We expect adjusted EBITDA between $70 million to $72 million, which represents a 36% adjusted EBITDA margin at the midpoint. For the full year 2022, we expect revenue of $760 million to $768 million, which is a 11% year-over-year growth at the midpoint. We expect adjusted EBITDA of $286 million to $292 million, which represents a 38% adjusted EBITDA margin at the midpoint. There are several things that I would keep in mind as we think about our guidance for 2022. It calls for another strong year of growth above our long-term organic revenue target of 7% to 10%. In terms of the revenue plan, our outlook reflects our confidence in the underlying momentum of the business. When you think about building your models throughout the year, we expect sequentially dollar growth in Q2 through Q4 to be broadly consistent each quarter. Also keep in mind that our revenue growth in the first half of the year benefits from the easier comps compared to the first half of 2021. In terms of revenue mix, we continue to see growth shift more towards cross-sell and up-sell versus new logos, similar to what we started to see in 2021. This reflects the growing solution portfolio and the amount of innovation that we've introduced into the market. In terms of profitability, we are forecasting similar adjusted EBITDA margins to 2021. We've generated outsized margin expansion in recent years, going from 30% adjusted EBITDA margin at the end of 2019 to 38% adjusted EBITDA margin at the end of last year. We remain focused on investing in our growth initiatives, including absorbing the cost base in ongoing investment of the Safekeep acquisition. At the same time, we do remain confident, we can achieve our long-term target of 45% adjusted EBITDA margin. Q1 will reflect the continuous investment we are making across the business, as well as the $4 million of non-recurring revenue in Q4, which fell to the bottom line and will not repeat. We do expect Q2 profitability to be lower than Q1 due to the phasing of costs and the timing of our annual industry conference. We then expect profitability to grow sequentially each quarter in the back half of the year. Finally, we believe Safekeep is a strong strategic fit and provides good long-term growth opportunity. However, this is an early-stage business and does not have meaningful recurring revenue and is immaterial to our revenue guidance for 2022. So to wrap up, 2021 was a strong year for CCC, with revenue growth and profitability exceeding our guidance for the year. We have a robust product development road map that we're investing in and we believe will drive additional value for our customers as they continue to invest to digitize their operations. Overall, CCC is performing at a high level and we believe the combination of attractive growth and high profitability can deliver a long-term value for our shareholders. With that Operator, we're now ready to take questions.
Operator: [Operator Instructions] Our first question comes from the line of Bhavan Suri with William Blair.
Dylan Becker: It's Dylan on for Bhavan. I wanted to maybe start on the STPs and maybe how they serves as an easy on-ramp for some of the AI tools you've kind of talked about as well here. But maybe how should we be thinking about the market potential and STP? Is it a share of maybe some of the savings you're driving for customers? How can a Safekeep maybe plays into this and maybe some of the long-term initiatives for the STP and AI components?
Githesh Ramamurthy: Sure. This is Githesh. It's really -- you have to think about it in 2 parts. What we've introduced first is Estimate-STP. So Estimate-STP is a component of the overall STP or straight-through processing capability. As we mentioned before, each claim leads to a hundreds of different activities or transactions. So one of the hardest steps is really taking the estimate from the accident and the photo to what is this going to cost to repair and that's really what Estimate-STP does. So what we've done with several and many other components is this also gives us an entry point, a demonstration to customers that we've been able to deliver, Estimate-STP, which is one of the hardest AI problems to solve at scale and it gives us great ability to deliver other components of STP, hence the several acquisition of Safekeep. Does that help?
Dylan Becker: Yes. That's very helpful, I guess to maybe building off of that and maybe this is a little bit more of a longer-term kind of potential opportunity here. But thinking about kind of some of the fraud dynamics that takes place across kind of the claims life-cycle as well. You have a lot of data kind of running across your platform here, insights maybe from the AI pieces. But thinking, I guess, maybe, what our carriers here thinking and analyzing kind of into the fraud dynamics and the value that you can derive to better address the fraud that they're seeing across their solutions as well?
Githesh Ramamurthy: Yes, we do we do some of that already. For example, our platforms are connected real time to National Insurance Crime Bureau. We have a large volume, a trillion dollars of historical data to look at claims that have been reported across carrier opportunities. So as the technology evolves, clearly, there are opportunities to help protect against that and we do see that as a key component of our overall STP vision.
Operator: Our next question comes from the line of Chris Moore with CJS Securities.
Christopher Moore: Just with the organic growth for the quarter is 19%, software NDR was [ 115% ]. Is it too simple to say the new logos are probably 4% or so in the quarter?
Brian Herb: Hey, Chris. Brian here. Yes, that's right. So if you break down the 19% NDR was [ 115% ] and new logos was about 4%. So that is the math for the quarter.
Christopher Moore: Got it. In terms of the '22 guide, how much trend -- and you may have said this, I may have missed it, how much transactional kind of volume recovery is incorporated in there?
Brian Herb: Yes, there is not much. I mean, we talked about in '21 having one point of recovery from volume and that's where we ended up in our '21 position. As we look forward on the guidance, we have less than that going into '22, so it's less than a point. So we're not expecting -- we're not baking into the plan of further recovery. And we do expect recovery to come back, but we don't know the timing or the phasing and so what that looks like coming back in. So we have not assumed further recovery in our plan.
Christopher Moore: Got it. And last one for me, probably get a little spoiled, for you guys level and precision of guidance '21 -- '22 is 11%, your normal range is 7% to 10%. From where we're sitting today, '23 is probably best to look at from that normal range?
Brian Herb: Yes, that's right. We're not adjusting anything beyond where we are today. So I would say, as we think beyond '22, we're very focused on our organic revenue guidance that we've provided of 7% to 10%.
Operator: Our next question comes from the line of Jackson Ader with JPMorgan.
Maya Kilcullen: Hi, this is Maya on for Jackson. So talking about some of the large multiyear renewals, when do you typically see large customers engaging with you and are there typical renewal cycles that you can forecast?
Githesh Ramamurthy: Maya, first of all, great to have you on. I would just say that many of our customers, if not most of our customers, have been customers for 20 plus years. So yes, there is a pattern of renewals like some of the contracts indicated, were 5-year renewals. So yes, some of those renewals will come up 5 years from now, but what also happens in our business is that customers, as we introduce new solutions, many of our customers are adopting those new solutions. And as part of adopting additional bundles, additional solutions, sometimes they say, "hey, would love the predictability of actually extending the contract for the route while we adapt the solutions." So it can happen both ways. People just adopt new solutions or people adopt new solutions and say, "I'm going to extend it a little further." And sometimes it comes based on contract cycles. This is one of the reasons I wanted to quote the top 25 carriers alone, we have about a billion dollars of visibility for the next few years in contracted revenue.
Maya Kilcullen: Got it. That's really helpful. And then just going off of that in terms of having high visibility for this year, how does that compare to some of the revenue coverage that you would have gained in the previous years?
Githesh Ramamurthy: I would not say it is anything particularly unusual. This is just -- this is a normal pattern that we've seen for 20, 25 plus years and is a fundamental reason we maintain a net promoter score of 80, which as you know for enterprise software is leading edge. That means customers who really deliver great solutions for customers, drive a really great NPS, and that's really important to these long-term relationships.
Operator: Our next question comes from the line of Kirk Materne with Evercore ISI.
S. Kirk Materne: Githesh, can you talk a little bit, actually going back into those bigger contracts. So when you're talking to those customers about up-sells or cross-sells in this case, I guess. Is that competitive? Are there other solutions that they're baking you off against? Is it more of a just an ability for them to be at the point where they can start thinking through the process changes required to take on this technology? I'm just kind of curious, what sort of -- if there's any gating factors or it's just sort of working through the sales process with them?
Githesh Ramamurthy: Yes. I mean, look, there are always competitive issues, right? That's always a given. But the fundamental difference between what we offer versus Single Point Solutions is that we offer a truly end-to-end solution. So all the way from connecting to your consumers, all the way through thousands of your employees, making hundreds and hundreds of decisions per day, all the way through to repair facilities, parts providers. So we provide a seamless end-to-end integration. And so that's a huge differentiation for CCC. Second, because our cloud is already deeply integrated into customers' platforms, it makes it easier for customers to start testing, piloting, and really lighting up and testing out new solutions. So as customers pilot, light up, and test new solutions that are fully integrated, it becomes more of a "hey, did the solution have the impact that we were hoping it would have. Oh, yes, it had the impact. We're really thrilled with it." So a lot of customers, for example, when I talked about Estimate-STP, lot of people said this has never been done in the world before, can it really happen? When they tested it and used it, in fact, one customer commented to another customer, it actually works better than CCC advertised it. So it's really a matter of piloting and testing and getting it up and running. So those are really the issues.
S. Kirk Materne: That's helpful. And then Brian, when we think about these up-sell opportunities with your customers, just the revenue base serve automatically revert higher to the extent they're buying your products from you? Or is this something safer or the bigger, the top 5 or the 2 of the top 5 that you up-sold this quarter? Will that revenue from these new products sort of blend in over time? I'm just trying to get a sense on how those contracts work from a rev rec perspective?
Brian Herb: Yes, it's a bit of both. So some of the deals they'll bring in products like Engage and for the MSO and roll it out across their base. And that will just start to be in the base going forward. Other products like STP, where we've cross-sold, we'll build over time, as they continue to adopt that technology. So it's not a pure one way or the other, some of it will step up immediately and kind of be part of the base and some will build over time. So we see both varieties.
Operator: Our next question comes from the line of Gary Prestopino with Barrington Research.
Gary Prestopino: Hey, Githesh or Brian, can you give us some idea of what your software, NDR was 2 or 3 years ago versus where it is now? And then I have another one I want to ask on Safekeep.
Brian Herb: Yes, that's fine. Yes, if you look at where NDR was a couple of years back and kind of go beyond COVID year, it was around 106%, 107%, so that's kind of our historical trend. So we clearly are trending over those historical rates in the NDRs that we've delivered in '21.
Gary Prestopino: In terms of if it's 106% and you are at what, [ 115% ], so we're talking about 900 basis points of growth and a lot of that I assume is really going to be from new uptake of new products and higher-priced products, et cetera. Is that correct?
Brian Herb: Yes, it is. There's a few things that are going on, right? So if you look at the blended rate over the 4 quarters of NDR, it's about 111% is kind of what we averaged across '21. There's a few things going on in that. One is these large expansion deals that we've talked about, they've set a foundation for this accelerated rate across the top carriers. We saw it in the top MSOs. We also have seen good mobile AI, Engage adoption system of our digital solutions, we're seeing adoption across the broad client base. And then we're also seeing pickup in up-sell at the repair facilities and seeing that up-sell at the client base. So all of those are contributing. The other factor that you'd need to note is we have highlighted that cross-sell will be a larger proportion of our growth going forward. So if you look back historically, cross-sell has been about 2/3 of our growth. We've been highlighting that that's going to move to more like 80% of our total growth going forward and we're starting to see that play out in '21 and expect that trend to continue in '22 and beyond. So that's another factor that's playing through.
Gary Prestopino: Okay. And then very quickly, Githesh, the Safekeep acquisition sounds interesting, but I guess, you kind of alluded to that it was a newer technology that hadn't really been deployed in the market. What do you have to do if anything to tweak it to get it to where you want it to be? And was the fact that it wasn't out there in the market, that it was just a single-point solution and they just could not compete?
Githesh Ramamurthy: Hey, Gary. I would say, fundamentally, what we saw with Safekeep is that they had solved some really hard problems, right? So subrogation is the process by which you're saying who is at fault? Where should I collect money from et cetera? And there's a lot of complexity. So the team has done a fabulous job of understanding, building the technology. And frankly, when we went around talking to a lot of their customers, early customers that they had who were in pilot and early test and the feedback was just simply outstanding. It's one of those things where we could say, look, we can take a few years or we could really go with the solution and best of all, we love the team. Jeff, the CEO, the leadership team, fabulous team and then when you put that capability on our platform, where you now can deliver to customers an end-to-end solution, we feel we can really accelerate the movement of this technology through, and it fits exactly into our STP -- overall STP vision.
Operator: Our next question comes from the line of Yitchuin Wong with Citi.
Yitchuin Wong: Githesh, I think you talked about the meaningful expansion with 2 of your top 10 P&C clients. I'm wondering, are those expansion like kind of came in, in regards to what you are expecting on -- before? And then, also what are some of the products that was added or products that was not added as surprise this year? Can you give us a little more detail there?
Githesh Ramamurthy: Yes. So first of all, I would say, there were no surprises. Because we worked with our core customers for a very long time, both our repair customers, our multi-store operator customers, our insurance customers. We're also working well ahead of time in piloting, testing, seeing the results. So there's really no surprises. It's that the timing sometimes on these larger complex things, sometimes it takes a few months, sometimes it can take a year, sometimes can take longer, so no real surprises as such.
Yitchuin Wong: Okay. I guess how much of that expansion is kind of into AI mobile area?. I mean, if it's small to begin with, do you see that percentage growing bigger towards the later stage of the contract?
Githesh Ramamurthy: Yes. We do see that element, especially on the carrier side, especially that element of AI Estimate-STP. And there was a number of new solutions, some are already established products we had. And then as more customers adopt mobile AI, as well as in some instances existing solutions that they have not rolled out in previous years, they saw the benefit of rolling those solutions out. So it's a mix of new solutions, as well as existing solutions. And some of these solutions will ramp over time as the mix continues to change and more and more AI and other solutions could adopt it.
Operator: Thank you. Ladies and gentlemen that concludes our question-and-answer session. I will turn the floor back to Mr. Ramamurthy for any final comments.
Githesh Ramamurthy: Thanks to everybody for joining us and we really appreciate our shareholders being on the call and I look forward to giving you an update. So to wrap up, I'd just tell you that we are thrilled with how CCC performed in 2021, super excited about the opportunities in front of us in '22 and beyond. As we came out to the public markets, we set up some very clear objectives that we wanted to make sure we deliver and hopefully everyone feels good about what we're doing in that area. I would also say that we're seeing positive demand trends across each of our product -- key product and customer segments. And as a result, we are seeing that the importance of investing in cloud-based digital technologies continues to grow among our customers and as we've said and we continue to reiterate, innovation, huge, huge part of what we're doing as we continue to deliver new solutions that help drive growth. And I also want to take this opportunity to wrap up and shout-out a huge thank you to all the CCC'ers who over the years, and particularly, the last year helped make all this happen. So we look forward to giving you further updates and thanks everybody for joining.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.